Operator: Welcome ladies and gentlemen to the Bird Construction First Quarter 2016 Financial Results Conference Call. We will begin with Mr. Ian Boyd’s presentation, which will be followed by a question-and-answer session. [Operator Instructions] As a reminder, all participants are in a listen-only mode and the conference is being recorded. [Operator Instructions] Before commencing with the conference call the company would like to remind those participating that certain statements which are made express management’s expectations or estimates of future performance and thereby constitute forward-looking Statements. Forward-looking statements are necessarily based on a number of estimates and assumptions that, while considered reasonable by management, are inherently subject to significant business, economic, and competitive uncertainties and contingencies. In particular, management’s formal comments and responses to any questions may include forward-looking statements. Therefore the company cautions today’s participants that such forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual financial results, performance or achievements of the company to be materially different from the company’s estimated future results, performance or achievements expressed or implied by these forward-looking statements. Forward-looking statements are not guarantees of future performance. The company expressly disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, events or otherwise. At this time, I would like to turn the conference over to Mr. Ian Boyd, President and CEO of Bird Construction. Please go ahead Mr. Boyd.
Ian Boyd: Thank you. Good morning everyone, thank you for taking the time to participate in our first quarter conference call. With me today is Stephen Entwistle our CFO as well as Wayne Gingrich, who’ll become CFO on July 1, post the retirement of Stephen. Before starting my formal comments, I would like to personally acknowledge the contribution of Stephen and thank him for his dedication and service to Bird over the past eight years. We wish him a happy retirement and he and his family all the best in the future. In the first quarter the company reported net income of $9.3 million on construction revenue of $338.3 million, compared with $4.7 million and $306.2 million respectively in the first quarter of 2015. Current quarter net income was approximately twice the amount reported last year. The increase is a result of higher construction revenue, the realization of higher gross profit percentage combined to a lesser extent with the effect of lower General and Administrative expenses. Our first quarter results represent a strong start to the year driven by solid execution of our projects across all of our operating areas. With backlog near $1.6 billion, the company has a strong work program that will possibly contribute to our results in 2016 despite a decline in the resource sector activity. We will continue to take advantage of our diversification and sourcing opportunities to try to replace the expected reduction in the revenue and gross profit contribution from our industrial work program. First quarter 2016 results compared to first quarter 2015 results. During the first quarter of 2016, the company generated net income of $9.3 million on construction revenue of $338.3 million, the results compare with $4.7 million and $306.2 million respectively in the first quarter of last year. The increase in the amount of 2016 net income is a result of an increase in the construction revenue, the realization of higher gross profit percentage and to a lesser extent the reduction in the amount of current quarter General and Administrative expenses. Construction revenue of $338.3 million was $32.1 million or 10.5% higher than the $306.2 million recorded in 2015. The increase in 2016 construction revenue was primarily due to the execution of the company’s significant institutional work program including many PPP and alternative finance projects secured in 2015. As expected the company’s industrial revenues declined relative to those recorded in 2015 primarily due to the reduction in the capital expenditure programs of many of our industrial clients in response to low commodity prices. In the first quarter of 2016, the Company’s gross profit of $20.6 million was $4.9 million or 23.1% higher than $21.1 million recorded a year-ago. The increase in the amount of gross profit was mainly due to the result of an increase in construction revenue combined with an increase in gross profit percentage realized on the Company’s industrial projects resulting from a combination of strong execution and the reconciliation of scope changes. In 2016, the company’s gross profit percentage of 7.7% compares with 6.9% recorded a year ago. Current quarter general and administrative expenses of $13.6 million were lower than the $14.3 million recorded in 2015. The reduction in 2016 expenses was primarily as a result of lower pursuit cost related to BBB and alternative finance projects and to a lesser extent by lower compensation expense. Finance income in the first quarter of 2016 of $1.1 million was $1 million higher than the $0.1 million recorded in the first quarter of 2015. The amount of 2016 finance income excludes the negative impact of $1.3 million mark-to-market loss recorded in 2015 stemming from a reduction in the market value of an investment in preferred shares. These preferred shares were sold in 2015 in order to limit the company’s exposure to fluctuations in the market value of these investments. Income derived from interest and dividend income remained relatively comparable in the quarters. Finance expense of $0.8 million was $0.3 million higher than the $0.5 million reported in the first quarter of 2015. The increase in the interest expense was largely due to finance costs on non-recourse debt used to finance two alternative finance projects, which are progressing through construction this year. Income tax expense of $3.4 million in 2016 was $1.7 million higher than in 2015 consistent with higher current quarter pre-tax earnings. Outlook, I'll now provide some brief remarks about our outlook for 2016. Our first quarter results represented a strong start to the year driven by a solid execution of a work program rather across all of our operating areas. We are encouraged by the fact that an increase in reported earnings is the result of higher revenues and increase in gross profit percentage and lower general and administrative expenses. Our results also demonstrate that the company has been successful in securing the contract awards and change orders to existing contracts resulting in backlog of approximately $1.6 billion at March 31, 2016. The amount of backlog is comparable to the level we were carrying at the end of last year. We anticipate that approximately $1 billion of the backlog will be put in place in the remainder of 2016 resulting in revenues for the year in excess of $1.45 billion recorded in 2015. As we expected, our current work program is characterized by a higher compensation of institutional work as a result of strong segment in the sector combined with a reduction in our industrial activity due to the prevailing economic conditions in the resource and energy sectors. While we are confident in our ability to generate reasonable results in 2016, this change in the composition of the work program will make it challenging for the company to replicate the level of earnings recorded in 2015 adjusted to the after-tax HJO impairment loss recorded last year. The industrial market sector contributed 51% of revenues in 2015 and 57% of revenues in 2014. The challenging economic environment related to resource development that has persisted since mid-2014 is not expected to change to any significant extent in 2016. There continues to be uncertainty in the energy sector in Western Canada, which has resulted in the reduction in the number and size of new construction opportunities, as owners reduced the capital expenditures on response to low oil and gas prices. The situation is similar in Eastern Canada with low iron ore and commodity prices in general have limited mining related opportunities for H.J. O’Connell. Although, we continue to receive new contract rewards in the industrial sector. The project is smaller in scale, shorter cycle in nature and generally have been secured at lower profit margins due to the increased level of competition. Accordingly, we do not expect to generate the revenues and gross profits in the segment of our business in 2016 that were achieved in 2015. LNG projects primarily in British Columbia have the potential to offset the anticipated reduction in the industrial operations and the company continues to actively pursue elements of these projects. A press release was issued on May 6 announcing that the company as part of a joint venture has been selected as a design build contractor for the LNG Canada Cedar Valley Lodge. A workforce accommodation complex to support the construction of LNG Canada liquefied natural gas export facility plant for Kitimat, BC. Engineering and design work on the project will commence immediately, however construction will not proceed unless a positive investment decision is rendered for the project with a decision expected in late 2016. The institutional market sector contributed 34% of 2015 revenues and 24% in 2014. In the institutional sector, we anticipate infrastructure spending to increase in 2016 and beyond to address the infrastructure deficit in Canada and to stimulate slow economic growth. The company is actively pursuing a number of these opportunities and is well positioned to secure and deliver these projects as it become available. New contract awards for institutional projects secured in the first quarter of this year have added to an already large amount of backlog secured in 2015 in this market sector. The revenue in earnings contribution in 2016 derived from the institutional market is expected to exceed to those recorded in 2015. The retail and commercial market sector contributed 15% of revenues in 2015 and 19% of revenues in 2014. Although this market sector will continue to offer opportunities to the company, we believe that the current uncertain economic climate will limit activity in this market sector in 2016. Consequently, we expect revenues and earnings in the sector to decline slightly relative to those achieved last year. So those are my remarks and we are ready for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien: Hi, good morning.
Ian Boyd: Good morning, Frederic. How are you?
Frederic Bastien: I’m great, thank you. Guys, great earnings, but I keep on thinking I’ve seen this movie before. You’ve been vocal for quite some time seeing the gross margins and earnings will start slipping, yet you keep on delivering very good results. Is the performance that you are delivering actually exceeding your own expectations that you set out or is the tale of positive margin arc just extending in terms of time? Is it taking longer for things to start slipping off, I’m just curious as to how I can reconcile that your results and your guidance?
Ian Boyd: Yeah I’d say that’s fair comment, Frederic. So I’d say that, yeah in some respects I’d say the results have - are more than what we would have expected certainly in the first quarter, as it relates primarily to industrial work program where the gross profit percentage was higher than we were anticipating. I do think that that’s more or less the result really of what I’d call, I think you are familiar with kind of close off margins, much of that work program is coming to an end to the course of 2016. And so I think we are seeing some reconciliation of scope and added scope that has been added on to existing contracts, but also just execution where we have been able to perform better than we would have expected perhaps nearing the end of last year and even through the first month or two of 2016. So I do think that there is part of it is just performing better than we would have anticipated. But I also believe that our guidance still recognize the fact that industrial work program is in decline and in that our work program certainly is dominated at this point by institutional work, which is very good in some respects, certainly the finance, some of the design build larger projects that we have been able to secure are healthy but they generally are not as healthy over the life of the contract in terms of gross profit percentage realization than our industrial work program. So that’s really where our guidance is coming from, but part of it is, is that we have performed better than we would have anticipated certainly in the first quarter.
Frederic Bastien: Okay. And can you give us a sense of how significant closeout margins were in the quarter?
Ian Boyd: Well I mean our gross profit percentage, as you can see its 7.7%, what we realized in Q1 there is certainly component of that that is driven by our industrial closeout margins. We don’t normally disclose what the difference is in terms of where we derive that closeout margin but there is a product of that certainly in the 7.7% that was - I’d say to a degree unexpected but certainly pleased that it’s being realized.
Frederic Bastien: Okay. And just got another one, obviously some positive development was expected on LNG Canada. You have been directed a CDO to provide some detailing work in respect a big workforce accommodation camp. How much - what can you provide in terms of information with respect to that project?
Ian Boyd: It’s a design build contract when we joint ventured with CVL and we have been awarded the contract which does have a component of essentially a limited notice to proceed with respect to the design and engineering which we will start immediately. It’s 4500 person camp with some ancillary facilities to help support the actual workforce for the LNG export facility plant for Kitimat. Value has not been disclosed, and hasn’t been disclosed really from the - more so from the desired client and I haven’t disclosed, so that’s probably as much as I can give you. We will start the design and engineering on the project immediately, and we will progress that until such points, there is a final investment decision rendered and we expect that to be later in 2016 Q3 or Q4 based on what we are being told.
Frederic Bastien: And if you compare the scope of work that Bird would be executing in this project versus the work that you have secured the BCI drill Site C project. Is that similar type of scope, was suspected might be a bit larger in size?
Ian Boyd: It is larger in size and scale. I mean our scope would be similar in general, in this particular instance with the Bird-CVL joint venture. We would manage the overall construction as well as doing the civil and related works to essentially be ready for the delivery of the actual units. CVL would bring their expertise in the design, and the actual manufacturing of the prefabricated units to - and then we will coordinate between the two of us essentially to have them installed. There were some core buildings that will require some design development to see whether they will be prefabricated or if that work will be executed on site, if they are executed on site, then that would increase our scope to execute that portion of the work, but I don’t think all of those details are finalized at this point.
Frederic Bastien: Got it, okay. Thanks for that, I will turn it over.
Ian Boyd: Okay thanks.
Operator: The next question comes from Yuri Lynk with Canaccord Genuity. Please go ahead.
Yuri Lynk: Hi, good morning. Stephen, first congratulations on a successful career, I wish you all the best in the future. Ian, just two quick ones really, the lower P3 pursuit cost that you mentioned, what does that say about the future booking opportunities and institutional, I guess over the next 6 to 12 months.
Ian Boyd: Yeah it means I think consistent with what we said in recent, even as recent as our annual results call that we had in March that we believe that the P3, the P3 opportunities for us anyway in this year is going to be less, and that’s reflected really in the cost that you see, less G&A cost this year relative to last year. Some of that or a portion of that certainly is less P3 costs, which means we just have less pursuits. What it does do though is because we had faster success last year in terms of securing really eight, which include the Site C project, PPP and alternative finance projects, and the resources we put towards actually securing that work, and obviously they are getting it started. The realization of ‘16, both sort of timing of the opportunities that we wanted to pursue and just around resourcing with limit ‘16 in terms of the available pursuits, and really what we are doing at this point in time is we will have several of these closed over the course of ‘16, they are smaller in nature. So one of them has been submitted already, for instance Seneca College has been submitted and we are waiting results. We continue to work on the Hamilton Biosolids project. It remains to be seen whether there will be others that come online through the course of 2016, but we have prepared responses for requests for qualifications, and then in other aspects, we are setting up 2017 really through teaming and opportunities we expect to have in 2017. So 2016 certainly will be less and it looks like we are essentially setting ourselves up to try to be more active and hopefully more success again in 2017.
Yuri Lynk: And that 2017 pipeline looks fairly healthy, how would you characterize it?
Ian Boyd: Yeah I would say it is relatively healthy. I would say they are probably somewhere in the range, depending on how things come out, because now all of the timing that we are aware of will actually transpire, and so these move around a little bit depending on what the priorities of the various governments are, and so I expect that they will be somewhere in the range of 8 or 10 that are available in 2017, doesn’t mean all of them will be in the request for proposal stage which is where you primarily spend your pursuit moneys, but I believe that the pipeline is healthy.
Yuri Lynk: Okay. Just switching to just the outlook for growth outside of organic growth which has always been your focus. Where do you guys stand with potential M&A, has that come up around the Board table. Is there any holes in the portfolio, you would like to sell any change in stands on M&A?
Ian Boyd: I’d say we versus perhaps probably even in the last two years where we - I think we had sort of between H.J. O’Connell acquisition in 2011 and Nason in 2013. I think we had enough to be able to integrate those properly, and therefore we aren’t concentrating on any more acquisitions at that time or that time period. I certainly believe we are in more of a position now to look closer the strategic objectives that we want as an organization moving forward. And so we will look more closely at acquisitions, nothing is eminent, but certainly there has been more discussion I’d say from us to look at where we think we would like to add our presence in geographically or services that we don’t currently have and acquisition is a method to achieve the end, it’s not the only method.
Yuri Lynk: Alright and can you share with us broadly - broad strokes - where or what end markets you are most interested in?
Ian Boyd: I’d say for us there was a new [indiscernible] that we have looked at, but you know in keeping with what we expect to have and we are always trying to increase our service offering. When we look at our industrial market, we are pretty well covered on our institutional and commercial market, when you look at geographically across the country and certainly where we look to it probably is more self-performed, probably more in the industrial side of the business, where we see the opportunities maybe in the ongoing maintenance repair and operation. But again we haven’t looked at any aspect of that. And there are other means that we can play more fully in the maintenance repair operation. In fact, we have already really started that through the acquisition of Nason, which wasn’t their expertise when we acquired them in 2013, but we have been able to leverage our expertise on the mechanical, electrical self-performed on that business as well as the relationships we have developed with clients in the oil sands to be able to do more and more of that work. But I would say those are the areas that we are focused on as more services I think and necessarily and more related to industrial work possibly self-performed.
Yuri Lynk: Okay that’s it from me guys, I will turn it over.
Ian Boyd: Okay.
Operator: [Operator Instructions] The next question comes from Maxim Sytchev with National Bank Financial. Please go ahead.
Maxim Sytchev: Hi, good morning gentlemen.
Ian Boyd: Good morning.
Stephen Entwistle: Good morning, Maxim.
Maxim Sytchev: Just question going back to guidance, I mean obviously Q1 I think was materially above expectations. Is there a scenario that can happen that you would actually be able to match the 2015 net income? Is there a possibility or you think this is just visual thinking at this point.
Ian Boyd: I think it is visual thinking to put it in your terms, I don’t think that we will get there, and obviously for our guidance to that. And I know I think even in your own notes in terms of the analysis over Q1 that we are generally conservative in our guidance and realize that I mean it’s not purposeful in any way shape or form, it’s what we see happening in our business right and we choose to be, I’d say more to what we believe is going to happen as opposed to hope is going to happen. So I would say it is not likely to happen that we will meet our expectations or the revenue and gross profits or we will exceed revenue, exceed the earnings from 2015. So I think that is pretty much a certainty and the reason I say that is when you look at the work program that we have, well healthy, very happy and it is going along well. The reality is, is that many of these, if you look at our major projects in the institutional side of things, they will operate through the courses ramped up nearing the end of 2015, they will operate, none of them will finish through the course of 2016. In fact, they will finish in 2017 and some of those projects will be in 2018. So the reality is that you are going to see consistent earnings I would say from that work program through the course of 2016, and you won’t necessarily see, again what we refer to sometimes, you will see close out margins as you get closer, and contingencies that you do not need once you de-risk a project, will turn into fees. So we are not generally going to see that in our institutional work program through this year, just simply guide the course of construction and where we are at the stage of construction. And when you look at it from the industrial work program, the current market place just is not going to offer the same kind of opportunities, and so while we will, and we have seen in Q1 where we have executed well in our current program in the industrial side of the business that has been on work that we have had in our backlog through the course of the last year to year and a half is now proving out to be certainly good for our business, but ultimately it’s going to finish in 2016. So that’s why I say I don’t believe that it is necessarily the case that we are going to have earnings that will match 2015.
Maxim Sytchev: Right and what do you have left in terms of the industrial work that you are completing off size?
Ian Boyd: Well we are still at - I mean the primary projects that were still on the Fort Hills really the primary major project that we still execute on through the course of 2016. Most of our other programs that we are running at - I think in the industrial market which is in all of oil sands, but it’s smaller in nature. So it’s another work we picked up through the course of 2015 that we continue to execute, the major project is Fort Hills that we are still active on.
Maxim Sytchev: Are there projects that you could be ramping up in the back half from the industrial side that maybe you are bidding on right now so on the cost of potentially winning the work or there is really a pause with the opportunities from bidding perspective?
Ian Boyd: Well I think there still continues to be opportunities in the bidding perspective, but as I said in our guidance, what we are seeing are projects smaller in scale, shorter in duration and definitely to secure them it’s going to be more aggressive margins than what we have seen in the past. So I think we still have a - certainly we will still have a considerable work program, and even when I look at it today I’d say that our workforce there has not diminished greatly, and we haven’t reduced our industrial west operations meaning man count, people we have operating in that to any great degree in the current environment, we still have a very robust port program in that sense. But question that our opportunities are definitely smaller and shorter cycle in nature, and so we still have opportunity. Now obviously the biggest opportunity continues to be the LNG export plans that are planned in British Columbia primarily there are also opportunities in Nova Scotia, so in each coast, I believe British Columbia maybe the ones that are most advanced in terms of whether they actually proceed or not, but again the one that we are involved with CVL right now in the workforce accommodations, Cedar Valley Lodge, again we will work on design and engineering through the course of 2016, which will be a modest spend in relative terms and then we will wait and see whether or not they have a positive investment system, if they do the impact will not be in this 2016, there will be impact in 2017 and 2018 if that project was to proceed.
Maxim Sytchev: Okay now that makes sense. And actually circling back to potentially thinking about strategic positioning and M&A and those types of things, correct me if I am wrong, but can Bird do more work on the horizontal infrastructure because it seems that the transport space I mean in North America and Canada specifically is growing very robustly. Is this something that we would be potentially attractive expertise to beef up or do you feel that you have sort of all the right ingredients to be able to address those opportunities.
Ian Boyd: I’d say that we don’t have all the ingredients if you really want to be horizontal. So that is an opportunity that you could look out. When you sourced out, how do you play more fully in the transportation with the way we have participated up to date has been through the vertical elements and partnering with partners that provide the horizontal expertise, and so that marriage has worked, East Rail Maintenance Facility is a casing point of that, there is other opportunities which we have pursue and will pursue in the future, which would be a similar type of arrangement, but there is no question that there is opportunity outside of that if you wanted to work on horizontal and be a participant more fully as a performer other element of that. And that’s - we do look at that on a regular basis and figure out how do you play fully in that marketplace. It’s not necessarily that they do, I don’t think you can redeploy for instance your H.J. O’Connell mining expertise and then decide you are going to do horizontal work, that’s usually risk recipe for a problem. So I do want to be careful in terms of how we do it and make sure that we partner well, which is really the success in any of our PPP and alternative finance projects. When you look at what we are doing in larger size - larger scale projects, the partnering is a key element of that and I think the horizontal is no different.
Maxim Sytchev: Right but I mean hypothetically speaking, if you were to have that capability, the likelihood of sort of the success and the win rates should not necessarily change right because you know if you were to self-perform more of that type of work, is that a fair assessment or this is just too hypothetical of a question?
Ian Boyd: I am not sure if I totally get your question. So maybe ask it again and I will try to see if I can…
Maxim Sytchev: Well I guess because right now your - the value add that you provide to the partners is really your vertical expertise, and then if you were to acquire the horizontal expertise, I mean obviously you will be competing maybe against your former partners. So I guess my question is that if that would actually incrementally grow your market share for addressable market share, easily kind of the status quo dynamics?
Ian Boyd: No I think you are probably right like with the success rate, I don’t know these projects are set aside in the scale that in fact there is many times that you weren’t just dealing with one horizontal contractor, in fact you have competitors that otherwise would compete against each other whether on the same team because the size and scale of these projects are so significant. So I don’t know necessarily like if you acquire that expertise, I would say that you could increase your market share in doing so, because I think the projects are size and scale that through risk management and having the resources to go execute them, you are actually in partner with firms that would otherwise be your competition, and to be honest it happens on the vertical elements all the time. I don’t think horizontal is any different, so if you find a way to play in that more fully, I believe you would have opportunities to till be able to self-perform and partner with horizontal contractors and execute some of these larger projects. So it’s an area that we still contemplate how do we play more fully.
Maxim Sytchev: Right. And then just going back off to the ability or your desire to expand geographically, are you making reference to having a stronger presence in Canada, basically other provinces or would you be thinking about I don’t know the U.S. or something that….
Ian Boyd: I’d say that we are not thinking of the U.S. right now, we have been in the United States, we have been in Utah and Seattle, and our experience in there were not terrible. We set that, we sort of bumped along, made some money, lost a little bit of money over the course of the years, and wasn’t really - and in fact what we found that it wasn’t more distracting than it wasn’t necessarily anything else. So I would never say never when it comes to the U.S., but I think you would have to have the right people to be able to let go, and either open up an office organically or you would have to find the right partner to be able to expose yourself to that market and do an acquisition and say there is two areas, but that’s not our concentration towards right now. Our focus right now still remains Canada.
Maxim Sytchev: Right, no that makes sense. That’s it from me. Thank you very much.
Ian Boyd: Okay thank you.
Operator: The next question comes from Michael Tupholme with TD Securities. Please go ahead.
Michael Tupholme: Thanks, good morning guys.
Ian Boyd: Good morning.
Stephen Entwistle: Good morning, Michael.
Michael Tupholme: To sort of circle back on the guidance, so if I read the guidance that you provided this quarter and then compared to the last quarter, the wording has changed a little bit, I guess last quarter you were talking about suggesting earnings to be lower in 2016 versus 2015, and then this time you are suggesting difficult to replicate, and I know you sort of addressed that a moment ago in response to Max, but I guess what I am wondering is, number one, are you signaling a bit of a shift by changing the language there, are you more positive compared to last quarter, and secondly is that simply due to better Q1 performance or are you actually more positive on the balance of the year.
Ian Boyd: No, I would say that you may be reading it too much, I don’t know that anything really in our outlook has changed significantly, obviously we had a good Q1, still I think our view is that it will be whether you say challenging, or were they hard to replicate, I think it’s probably the changeability of words and anything else, so I think our outlook has been pretty similar. And remember when we prepared that outlook little two months ago and not that much has changed in the interim. I would say if we were in a position where the LNG Canada Cedar Valley Lodge was to proceed and we are awarded a contract that was a full go on that project, it has a different outlook. But right now, I don’t think anything else fundamentally has changed within our outlook.
Michael Tupholme: Okay and just on that point with regards to LNG, if that were to receive positive final investment decision. I think you suggested it could come wither in - potentially Q3 or Q4, but it came a bit earlier, so in Q3 type time frame. You could get going on an upward that it would, that would materially change the outlook from where you are right now.
Ian Boyd: The safety and I’m not sure that it would because it’s a major project, so it will take time even though we were starting our design engineering. I still believe that, if they provided FID, even I’d say it’s early Q3. You would still have some degree of mobilization timeline to actually, before you’ve would actually produce any real revenue coming out of that project. So I don’t know that would have material impact on ‘16 necessarily, certainly would have a material impact on our backlog in our outlook perhaps for ‘17.
Michael Tupholme: Okay. Perfect, makes sense. And then, with respect to SG&A costs, given the lower costs this year with respect to bidding on institutional work. Is what we saw in the first quarter somewhat indicative of how we should think about things, versus the percentage of revenue, from an SG&A perspective?
Ian Boyd: Yeah, I would say, I think it ran about 4%, so I think 4% to 4.5% is somewhere in that range, it’s going to be. We are making significant overhead or SG&A decisions as it stands right now. I do think we have to monitor and measure what’s happening within our workforce in the opportunities that we have. But I do think that it is difficult to find good construction people and we have many of them and so our desire would be that we are going to maintain our work force and so even if we believe that there is some that impact to SG&A in the short term just simply because being able to replace individuals is not so easy when you have to in the future. But we will monitor it very close. But I would expect somewhere between the 4% to 4.5% range.
Michael Tupholme: Okay, perfect. Then with respect to gross margins, as you mentioned, there may be some benefits this quarter with respect to close out - close that impact. I guess, historically we have seen gross margins tend to be a little stronger in Q2, Q3 as compared to Q1, not always, but that is often the case . I mean, do you think as we get into the next several quarters a lot part of the year here. Can you maintain gross margins that these kinds of level or is it sort of inevitable that they’re going to have to come down given the changing mix and the fact that you - you to get some benefits from the close outs in the first quarter?
Ian Boyd: Always headed into be a little common simply because we are viewed as so conservative, but my answer may be predictable. I believe that the margins will come down over the course of the year otherwise we probably would have different guidance at this point. So I do believe that the composition of our work program will even more fully shift through the course of the year and then we’ll be - we’ll see pressure on those margins, through the course of the year. And I do agree with you, Q1 typically has been sort of lower than the other quarters, but in this instance just the way that our work program is shaping up, we’re kind of seeing that, I wouldn’t say the reverse of that, but I do think they will come under margin partially through the courses of the year.
Michael Tupholme: Okay and then just lastly, can you - is there any commentary you can provide around the impact that you’ve experienced with respect to the Fort McMurray of fires?
Ian Boyd: I can, it’s still, I would say very preliminary, I would say all of our industrial projects with the exception have one, we’ve have been mobilized. So none of the work is happening, so from an industrial work program that obviously is a very sizeable work force that we now have demobilized and in these contracts this is a force measure event. So neither party is held responsible, which makes sense, it’s an active nature. So in that instance the owner is responsible for their own cost and we are responsible for our own cost. So there is probably two impacts to it, one is that you are obviously not generating revenue while you’re off site. The her aspect is your probably gaining more SG&A cost or overhead expense simply because obviously going to maintain your workforce in order to return to work. So it depends on how long that the delay or the demobilization lasts. There has been some discussions more recently about trying to re-mobilize in several of those projects because none are really directly impacted by the fires. It has been more about overall lending support to Fort McMurray community I believe in trying to make sure that they are acting as safely as possible given the size of the wild fire. So there will be an impact I think to our revenue and there will be an impact to our cost structure in the industrial market. In terms of institutional, as it turns out we do have three schools that were being constructed in Fort McMurray, designed built schools. And one of those schools has been damaged, all three of those sites are demobilized obviously and again you’re not generating any revenue, you’re not generating - and you’re certainly incurring some costs. So there will be more modest impact, I would say, there was three projects but certainly in impact. Otherwise, what we are trying to do and we’ve - Fort McMurray in your sense is being an important part of our business. So we try to rally somewhat our company to be able to support as much as we can. We’ve made an initial donation of $50,000 and encouraged our employees to make donations of which we will match an amount over that $50,000. So we’re trying to do what we can and I know that our operations that share industrial operations centered in Edmonton is trying to lend support to the extent they can to the community. So we’ll continue to try to help get Fort McMurray back on its feet.
Michael Tupholme: Okay. Thanks, very much for that.
Operator: There are no further questions at this time. I would like to turn the conference back over to Mr. Boyd for any closing remarks
Ian Boyd: Thank you again to everyone for your participation in Bird Construction’s 2016 first quarter conference call. I hope we’ve been able to provide you with some clarity to our first quarter results and our expectations for the year in 2016, allowing you to further evaluate your interest in Bird. As always we are available if additional information is required. So please do not hesitate to get in touch with us at our office. Thank you. Have a good day.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.